Operator: Good afternoon everyone and thank you for participating in today's conference call to discuss StarTek's financial results for the Fourth Quarter and Full Year Ended December 31, 2021. Joining us today are StarTek's Global CEO, Bharat Rao; the company's Global CFO, Nishit Shah. Following their remarks, we'll open the call up for your questions. Before we continue, we would like to remind all the participants that the discussion today may contain certain statements which are forward-looking in nature, pursuant to the safe harbor provisions of the federal securities laws. These statements are based on the information currently available to us and are subject to various risks and uncertainties that could cause actual results to differ materially. StarTek advises all those listening to this call to review the latest 10-Q and 10-K posted on its website for the summary of these risks and uncertainties. StarTek does not undertake the responsibility to update any forward-looking statements. Further, the discussion today may include some non-GAAP measures. In accordance with Regulation G, the company has reconciled those amounts back to the closest GAAP based measurement. The reconciliations can be found in the earnings release on the Investors section of our website. I would now like to remind everyone that a webcast replay of today's call will be available via the Investors section of the company's website at www.startek.com. Now I would like to turn the call over to StarTek's global CEO, Bharat Rao. Please go ahead.
Bharat Rao: Thank you, Jonathan. Good afternoon everyone and thank you all for joining. I would also like to introduce Ron Gillette, who has just come on board towards the end of January and he will join us as Head of Business Transformation. Ron is the former Chief Operating Officer of WNS and brings a wealth of experience to StarTek. So please welcome Ron on board. Since joining as President in October 2021, I've had the pleasure to travel across the globe and meet with our employees, customers and stakeholders to get a firm grasp on the opportunities and challenges across our entire organization. Before I jump into the details, I wanted to start this call by taking time to thank all our dedicated employees and stakeholders across the globe. Your commitment and dedication to StarTek throughout all the difficulties we've faced in the macro environment has been instrumented to our continued progress and we deeply appreciate the support. For the structure of this call, I'm going to begin by walking through our accomplishments in the fourth quarter and what we've been able to achieve in the first five months that I've been on the helm, and then I'm going to pass it to our new Global CFO, Nishit Shah, to walk through our financial results for the quarter and provide the full-year in more detail. Finally, I'll return to discuss our strategic growth initiatives going forward. On that note, let's dive into the fourth quarter. Our fourth quarter performance was primarily focused on supporting our steady growth across core verticals and developing our operational foundation to hit the ground running in 2022. Our progress was reflected by our year-on-year revenue growth for both the fourth quarter and the full year, which occurred in conjunction with the cost management initiatives we've implemented throughout the year. Our revenue in 2021 and the fourth quarter increased year-over-year primarily resulting from the growth we experienced in our key verticals. Telecom continues to be our largest vertical in terms of percentage of revenue and we saw healthy growth, largely driven by adding new lines of business with our existing clients. The large win with the South African telecom client that we spoke to in the previous quarter, went live on October 1st and has ramped well through the quarter, Although e-commerce and consumer saw a slight overall decline due to volume reduction of a U.S. based client, we were able to offset some of that due to a substantial ramp in our e-commerce and food delivery platform in India. While the uncertainty brought on by the pandemic has started to recede, our travel and hospitality verticals have yet to rebound. However, the discussion with clients has started to refocus around growth and ramp and therefore we expect the travel sector to rebound sometime in the second half of 2022. On the other hand, financial and business services saw large recoveries back to pre-pandemic levels as we began to move away from the macro constraints that were brought up in the past. As mentioned before, our vaccination program in the second quarter was a success leading to a 32% increase in revenue within our healthcare and education verticals for the year. Despite some of our verticals having slight declines due to macroeconomic conditions and volume reductions, we were able to largely offset these decreases with sustained growth across our leading verticals. Operationally, we continue to be focused on strengthening our technological infrastructure. As many of you know, we were hit with a malicious cyber attack earlier in 2021. Since then we bolstered our operations and security to ensure that our company stays resilient to any future event. Our initiatives included adding multiple layers of security to our data servers and emails, including geofencing and a two factor authentication establishing a 24/7 center of excellence monitoring and scanning our networks across the world amongst other efforts taken to ensure that we provide an enhanced, secure environment to both our clients and employees. As technology continues to evolve at a rapid pace, we believe it is our responsibility to maintain a platform and that is up to date with the state of art security measures for our customers and we remain committed to that responsibility going forward. We also spent much of the past quarter evaluating consolidation and rightsizing opportunities across our footprint. It has been our goal to maintain a lean and efficient organization that will be increasingly important as we look to produce meaningful revenue growth. We have already begun improving efficiency in some of our U.S. delivery centers, especially as we transition to our overall hybrid and remote work plan. We remain set on our outlook of having a 75% and a 25% split of campus versus remote agents respectively, which will have a substantial effect on the utility of each campus. As such we are working to maximize the utility of each center as part of our rightsizing strategy, which includes the consolidation of facilities and even closures. We will keep you abreast of any material changes to our footprint as we further evaluate the best course of action. In addition to evaluating optimal efficiency across our footprint, we also continue to build out our executive team. Our company is rooted in the business of people and that starts with our leaders in the organization. In October, we appointed Vivek Sharma as Global Chief Revenue Officer who has helped us lead our efforts to deepen our existing relationships with customers as well as pursue new growth opportunities coming on the horizon. Vivek has a stellar record in the outsourcing industry having spent over a decade at Infosys BPO, where he headed the Global Sales and Marketing team and was also Member of the Executive Council. Rebecca Gautrey join us in November as our Chief Marketing Officer with more than 20 years of experience in brand marketing. She will be using her expertise to ensure that StarTek has a strong presence across all channels and drive a new go-to-market strategy. Around the same time, we appointed Abhinandan Jain as Chief Digital Officer who will be spearheading our digital innovations and ensuring that we remain focused on leveraging and expanding our digital partnerships. Our leadership team has seen a large transformation in the past year, including my transition to my current role as global CEO and each member new and incumbent have been paramount in driving company initiatives. Our executive team was not only part of the organization we expanded upon. We consider our sales ecosystem as one of the main pillars of this company. And we invested heavily in this area by revamping our sales infrastructure with a reorganized solutioning and lead generation team. We also invested into our marketing team to better identify our brand positioning and effective go-to-market strategies. In addition, we place much of our attention in driving digital partnerships by entering into POCs with our clients. These POCs are being supported by leading digital companies and startups with whom we intend to establish partnerships to boost our digital practice and provide most advanced and flexible solutions to our clients. For a leading computer manufacturer for instance, we are deploying a hyper intelligent automation tool for triaging and case creation, which helps them drive customer response times down by 70%. Leveraging an AI based noise cancellation application for a major telecom customer to deliver superior voice support. Deploying a voice based artificial intelligence, omnichannel platform to transform customer service for a major utilities company. These are a few examples of the kind of POCs that I alluded to earlier. The fourth quarter and much of the back half of the year shared a common theme in preparing this company for its future growth opportunities, which I will discuss later on during the call. Overall, I'm very proud of the progress we made across the organization and firmly believe that future is bright for StarTek. Before I jump into our strategic initiatives for the year and going forward, I would like to turn the call over to Nishit Shah, our global CFO to provide further detail on our fourth quarter and full financial results. Nishit?
Nishit Shah: Thank you, Bharat for the introduction. I like to first begin by expressing my excitement to join this organization and use my expertise to help accelerate the growth and enhance value for all stakeholders. There is much to look forward to within the strong foundation we have in place and look forward to exhibiting on our growth priorities. With that being said, let's drive into our financials for the quarter four. Starting on the top line, net revenue in Q4 slightly increased to $178.7 million compared to $174.5 million in the year ago quarter. On a constant currency basis, net revenue increased by two percentage compared to the year ago quarter. This year-over-year growth reflects continued performance strength across our key verticals and geographies. Gross profit for quarter four was $26.8 million compared to $30.2 million in the year ago quarter. Gross margin was 15% compared to 17.3% in the year ago quarter, which was primary attributable to the growth in our telecom and banking and financial services vertical that are delivering onshore. The gross margins for the quarter four 2021 was also impacted by a special bonus payout of around 2 million that was distributed across the organization. Selling, general and administration (SG&A) expenses for fourth quarter increased to $15.1 million compared to a $14.7 million in the year ago quarter. As a percentage of revenue, SG&A was the same at 8.4% compared to the year ago quarter as a result of continued operating leverage on the back of higher revenue base, we generated during the quarter. Our investments in high performing sales solutioning and marketing and digital team in order to drive growth and differentiation impact our SG&A in the fourth quarter. Our net income attributable to StarTek shareholders for quarter four increased significantly to $6.7 million or $0.16 per share, compared to a net loss attributable to StarTek shareholders at negative $7.6 million or $0.19 per share by year ago quarter. Net income in the fourth quarter of 2021 included an approximate $4.5 million of impairment charge on right-of-use assets that was driven by the decision taken to rationalize our brick and motor facilities across multiple geographies where the company, sorry, client service is pivoting towards at-home deliveries. The net income attributable to StarTek shareholder also include a $6.7 million in fair value gains from the investment made in CSS Corp. Net adjusted income attributable to StarTek shareholders for quarter four increased 47% to $12.9 million or $0.32 per diluted shares, compared to an adjusted net income attributable to StarTek shareholders of $8.8 million or $0.22 per diluted shares in the year quarter. Adjusted EBITDA in quarter four was $18.9 million compared to $23.3 million in the year ago quarter. As a percentage of revenue, adjusted EBITDA was 10.6% compared to 13.4% the year ago quarter. The decline was primary result of impact to gross profit associated with a special performance bonus declared in December and due to high base in 2020 that had benefited from government grants. The quarter was also impacted by increase in IT cost related to upgrading of our applications and measures taken to enhance security infrastructure. From a balance sheet perspective at December 31, 2021, our cash and restricted cash increase to $55.4 million compared to $50.6 million at December 31, 2020. The total debt at December 31, 2021 was $170 million compared to $136 million at December 31, 2020. The net debt excluding restricted cash at December 31, 2021 was $122.1 million compared to $91.5 million at December 31, 2020. We remain comfortable with our liquidity position as it stands today. In addition, we repurchased an aggregate of 353,810 shares of our common stocks under our repurchase plan during the fourth quarter at an average cost of $4.44 per share. This was testament to our continued confident in our long-term growth prospect as a strong execution of this initiative. As we progress into 2022, we have maintained our commitment to further support our investments in key market facing growth initiatives. We also plan to invest further in improving our IT and the go-to market strategy, including announcing the digital-first capabilities and further building out our sales and marketing teams. We expect this investment in our enhanced infrastructure to have put in place to boost our operation foundation for the quarter ahead. And we look forward to broad further updates on our growth trajectory. Now let me briefly review StarTek’s full-year 2021 performance. Net revenue in 2021 increased 10% to $703.6 million compared to $640.2 million in 2020. Gross profit in 2021, 12% to $97.6 million compared to $87.2 million in 2020. And the gross margin increased 30 basis points to 13.9% compared to 13.6% in 2020 Adjusted EBITDA in 2021 increased 24% to $72.4 million compared to $58.2 million in 2020. As a percentage of revenue adjusted EBITDA was 10.3% in 2021 up by 120 basis points compared to 9.1% in 2020. Net income attributable to StarTek shoulders in 2021 increased significantly to $1.5 million or $0.04 per share compared to a net loss of $39 million or $0.99 per share in 2020. Adjusted net income attributable to StarTek shareholder in 2021, increased 221% to $27.3 million or $0.67 per share compared to $8.5 million or $0.22 per share in 2020. This concludes my prepared remarks. I will now turn the call back over to Bharat.
Bharat Rao: Thanks Nishit, I want to take this time to provide some commentary on our strategic initiatives for 2022 and beyond. I've been involved with StarTek’s strategic direction since the merger with Aegis in 2018. And I have seen the steady progress we have made these last few years to transform a company burdened with loaded cost structure into a lean and efficient organization, ready to grow. Being at the helm from an operational perspective, our focus over the past five months has been on preparing this company for the growth opportunities we've identified across our core verticals. With all the initiatives that I discussed earlier. We had the utmost confidence in our position heading into 2022 and we feel that we are now prepared more than ever to capitalize on the opportunities at hand. Subsequent to the year end. We continued our initiatives in bolstering our leadership team with the appointment of Ronald Gillette as Strategic Advisor and Head of Business Transformation. Ron was most recently the CEO at Continuum Global Solutions and was previously the Chief Operating Officer for WNS. He will lead the charge in optimizing our CX delivery capabilities to ensure that our platform can handle the ramp up in volumes that we are expecting. We also have Nishit Shah and Jayanta Lahiri joining us as our newest members serving as our Global Chief Financial Officer and Global Chief Information Officer respectively. Nishit brings years of industry experience in financial reporting, mergers and acquisitions, legal and compliance, and much more. He will be integral in our mission to maintain a balanced and efficient organization with healthy financials. Jayanta is one of our investments to ensure our platform is fully capable in today's environment. He will continue to drive our IT transformation into an agile and secure environment for StarTek and its clients. Having a strong leadership team in place is paramount to accomplishing our goals that we set out for ourselves. And I'm confident in the C-suite that we have assembled. Going into 2022, we will be continuously expanding our overall capacity and optimizing our platform to enhance our omnichannel capabilities. We will continue to invest in our sales ecosystem and we plan on hiring more senior sales staff to implement new initiatives in those areas, such as targeting strategic verticals like BFSI, healthcare, e-Commerce, and high-tech. Our marketing team will be ramping up its efforts in communicating our brand unique digital first capabilities to existing and potential customers. We reviewed and further defined our target audience to enable more focused demand generation activity. And as part of our brand building activity entered into partnerships with several third-parties to develop our leadership content. Furthermore, another key area we are focused on is driving new digital partnerships in 2022. In fact, Abhi Jain has been driving a few very interesting POCs with some of our strategic clients that have vast potential to become standalone solutions that we can bring to the market. We are also focused on taking up very strategic digital projects and partnerships that can help us offer cutting edge and relevant solutions to our clients. We will continue to optimize our delivery centers as our efficiency ramps up further. Our campuses will undergo some internal efficiency changes in order to maximize their utility. And we are exploring all options to ensure our company is at the right size. We have begun discussions with clients in establishing more sustained hybrid working model, and we have had very encouraging and engaging responses from our clients. Most of the new deals that Vivek is participating in also have a greater preference for the work at home model, which we believe is going to be more prevalent going forward. We are therefore closing down some of our sites, particularly in the high-cost geographies. Lastly, I would like to provide an update on the non-binding acquisition proposal by CSP Management Ltd. On December 20, 2021, our largest shareholder issued a non-binding proposal to acquire all the shares of StarTek that it does not already own for $5.40 per share in cash. Subsequently, our Board of Directors formed a special committee of independent directors to evaluate the proposal. They have brought on legal and financial advisors to thoroughly examine the deal. While the committee continues to – its evaluation process, I don't have any material updates to provide, but we'll continue to keep shareholders updated on any meaningful progress. Overall, we have taken necessary steps to prepare for accelerated growth, and we are ready to hit the ground running. Although we continue to expect top-line growth, we will continue to invest heavily for the future, which we anticipate will limit growth to the bottom line in the near-term. Our core verticals are right with opportunity and we are confident in the foundation we have built to capitalize on those prospects. With that we will now open the call for questions. Jonathan, over to you. Thank you.
Operator: Certainly, thank you. [Operator Instructions] Our first question comes from the line of Chris Howe from Barrington Research. Your question please.
Chris Howe: Good afternoon, everyone. First off, I wanted to welcome…
Bharat Rao: Good afternoon.
Chris Howe: Welcome everyone to the call that's new and it's a good meeting everyone for the first time. I wanted to talk about fiscal year 2022. You mentioned some of the performance within key verticals, for example, travel and hospitality. You said sometime in the second half, you should see some recovery. As we look at the first half of fiscal year 2022 versus the second half of fiscal year 2022, how would you place revenue and the expense structure into context versus what you saw this last fiscal year?
Bharat Rao: Hi. Hello. Hi, thank you. Thank you for the question. Am I audible at your end?
Chris Howe: Yes, you are.
Bharat Rao: Wonderful. So just to make sure I understand your question because we had a bit of a disconnect on the call at our end. The question around the – how do we see the first half of 2022 versus the first half of last year? Did I understand that correctly?
Chris Howe: No, that's not the question. Well, in regards to the key end markets, you mentioned that certain end markets should see a recovery in the second half of fiscal year 2022. So as we look at the first half of fiscal year 2022 and the second half of fiscal year 2022, how would you compare and contrast them to this last fiscal year on revenue and also the expense structure?
Bharat Rao: Right. So on the first, I'll just provide an overview and then we can take any more, any specific questions. When we look at the first half of 2022 versus the second half of 2022, what we do expect is that some of the initiatives we have put in place from a digital perspective with the buildup of our sales team in the first half of 2022 will start showing us results in the second half of 2022, typically. As you would expect, some of these initiatives, especially in our industry, they do take time to come to fruition. So there is some lag between the investments made, the people that comes on board. So we are working through that. So we do expect to have more sustainable revenue go – and base going into the second half of 2022. I did mention that we should see recovery in some of the verticals the travel, et cetera, going into the second half of 2022. So, in summary, I think it would be fair to say that the first half of 2022 won't have the same benefits that we had in 2021, because in 2021, we still had the benefit in the first half of some of the COVID related work that we provided a lot of support for, but we should see the efforts of the first half of 2022 culminate into a much stronger pipeline from a revenue perspective going into the second half of 2022. Equally the investments clearly have to be front ended, so we would expect – from a bottom line perspective, the first half of 2022 to be relatively flattish in terms of bottom line, because we do see the investments that we have to make upfront to be able to realize the benefits in the second half and then into 2023.
Chris Howe: That's very helpful. Thank you. And the follow-up question dig into the – you mentioned you – you're identifying centers with suboptimal performance for further evaluation and consolidation. Can you talk about this in more detail what you've discovered as you've obviously you have more flexibility with the work from home modality? What's your timeline for this consolidation or optimization of your footprint?
Bharat Rao: Sure. I think that's a very good question. What we have done? So I just want to ensure that I'm very clear in terms of what we mean, I wouldn't call them suboptimal performance. This is more in the context of the point that you just made on a transition to work from home and therefore some ideal capacity. So what we – the way we looked at it was how do we right size the organizations and ensure optimal capacity utilization. So that's the way we looked at it as opposed to looking necessarily as suboptimal performance, if you will. So we looked at how do we optimize capacity, so that we can ensure that we are also able to provide the optimal focus from an operational perspective. So we have done – we have already take steps in that direction and towards the end of this of quarter four, we identified the executive team worked through to identify the facilities that we could potentially consolidate, and we have already taken that upfront. So going into 2022, we will actually see the benefits of that flowing through into 2022. Nishit, do you want to add anything to that in terms of – could you want to add any more color to that?
Nishit Shah: Yes, Bharat. So if you go back to the initial discussion that we had in the call, we did cover that on some impairment as we are done in quarter four. And that precisely linked to the discussion that you just mentioned on some of the facilities that we are looking at to optimize and that will give us a benefit in 2022.
Bharat Rao: Thanks. Nishit. Does that provide you some more color and helps you get a better understanding?
Unidentified Analyst: Yes, that's perfect. And one last one, if I may squeeze it in. You mentioned some of the details as much as you could regarding the non-binding proposal and the special committee is ongoing that's review of this proposal. Does this in any way affects how you go forward with your growth initiatives just to get it out there?
Bharat Rao: Sure. I think very pertinent question in light of everything that's happening currently, but short answer to your question, no, there will be no impact. From an operational perspective, the initiatives that we have identified and our priorities for investment will continue unabated. So the – there will be no impact. From a management perspective on the direction that we've chartered and the initiatives that we have prioritized going into 2022.
Unidentified Analyst: Okay. Thank you so much for all the detail.
Bharat Rao: You're very welcome.
Operator: Thank you. Our next question comes to the line of Zach Cummins from B. Riley Securities. Your question, please.
Zach Cummins: Hi, good afternoon. Thanks for taking my questions. Bharat, I just wanted to ask you around some of these foundational aspects that you spoke during the call. Ever since you took over the leadership position, you've been building out some of these key aspects to really get the company ready to scale as we move forward. I mean, can you discuss maybe some of the areas that you focused on and kind of some of the key actions that you took to really get the foundation in place for the company to grow moving forward?
Bharat Rao: Hey, sure Zach and good to reconnect. It's – so in terms of the areas that we have prioritized going into 2022 and the work already started in quarter four of 2021 when I stepped in as President. The three pillars of our growth will be digital solutions and building our digital capabilities. As I mentioned last time, and I continue to reiterate that our focus will be on our digital initiatives, partnerships, working closely with clients to identify areas of optimization internally and solutions and customer insights that we could offer our clients. The second area is revamping and rebuilding our entire sales ecosystem. And the third area for us is building a robust technology platform. We continue – we have always invested in our technology, but clearly after what we went through, we wanted to ensure that we have significantly improved capabilities on our technology front to ensure a stable and a secure environment. So these are our three pillars and going forward, we will also build serious capabilities on our technology – infrastructure across a few horizontal. Now, given that these three areas are our key areas of focus. On the digital side, we are building out our capabilities with Abhi Jain, who joined us in quarter three of 2021. And he's currently building out a team. And as I mentioned, he's already got a few proof of concepts and pilots underway. So I'm pretty excited about everything that we are doing in that space, because this is going to create serious IP for us as we go into 2022 and beyond. From a sales ecosystem perspective, as I mentioned, we brought in quarter four, we had Vivek Sharma who joined us from Infosys BPO, and Vivek is now building out his team. We have already revamped our solutioning and lead generation team because that effectively is the foundation for our much stronger sales ecosystem. We also brought in Rebecca who brings a wealth of experience in brand management and knows the industry very well. She joined us from Sitel and is working on some very interesting initiatives on the brand repositioning front. As I mentioned, we have also strengthened our lead generation and solutioning capabilities and added on a few experienced resources across geographies in that area. On the technology front, apart from implementing a number of recommendations that the team – the technical expert team from Palo Alto networks that we had retained provided us after we had the ransomware attack. So a, we implemented a number of their recommendations, b, we strengthened the team and recently had Jayanta Lahiri, who was the CIO of Firstsource and he brings extensive experience from large organizations, such as Wipro and Accenture. And he brings that wealth of experience and will be building out our entire IT and infrastructure ecosystem. So what we have done is identified our key areas of investments and ensured that we get the right people to build out those areas. And last but not least in fact is having Ron on board, Ron brings a wealth of experience and he's kind of come in to help us with our entire transformation and provide the kind of deep domain expertise as I mentioned earlier, he was the COO of WNS and prior to that very Senior Partner at Accenture Deloitte, a number of other organizations having spent over three decades building this business. Ron, if you would like to add some of your insights and provide some more color on the kind of initiatives that we have going into FY 2022. I really appreciate that. Thank you.
Ronald Gillette: Sure, Bharat let me just add that. I think Bharat has covered a lot of it. I think the work that's being done by Aegis and the digital space is really important. As StarTek and all companies experience the pivot to work from home during COVID and some of the other things that brought home to us was certainly the need for more technology enablement than to work in a new operating model going forward for the North America, the United States in particular. There's a desire on behalf of employees and employers, so in this case, our clients to have agents work from home, which presents some technology challenges that many of them were addressed in a fashion to be able to enable that pivot from home, but as Bharat mentioned, strengthening our technology platform and our environment to enable that not just here in North America, but globally is important because work from home is caught on in some other locations as well. And, we'll find itself more institutionalized, but the initiatives that Aegis focused on the use of AI and machine learning and robotic process automation to strengthen our service delivery, I think are very promising. Certainly we've had some of that in place with some clients, but now it's adding to that and building that out and making available to more clients and making part of our core offering, going forward. So very promising potential here and opportunity, so the hard pitch that was delivered from COVID has also been something that StarTek responded to well at the time and has learned from, and is making that part of a guiding principle here of the – of what we do with the company going forward.
Bharat Rao: Thank you, Ron. Zach hope that provides you some clarity.
Zach Cummins: Yeah, absolutely. I always appreciate that the additional insight there. And just my other question is really on potential cost pressure. I mean, just given the current inflationary environment and the challenges to find talent, to really execute upon these projects, how are you planning on kind of managing the associated costs with that and being able to maintain margins here in the near and longer-term?
Bharat Rao: A very good question, Zach, and I guess this is an issue that is faced not only by StarTek, but by everyone globally. And that's where we talk about a, ensuring that we have the right delivery platform, look at what we can offer onshore versus near-shore and offshore. So right shoring if you will of our proposition that is one element. The other element is where we start having a lot of technology enablers to the solutions we provide the benefit of which clearly flows through to customers. And therefore they see the value that our proposition brings in. And therefore to a certain extent, insulates us from the kind of cost pressures that we face. But equally, I think what is going to be important is, technology is also going to be a big-enabler in helping us improve the kind of engagement that we maintain with our agents Ron alluded to some of the challenges around the work from home situation. So to the extent we have technology and technology enablers that provide us to improve the experience that agents have when they work from either from any remote location or from our centers will go a long way in helping us create the right environment and culture to be able to offset some of these cost pressures. Does that give you some guidance in terms of what we are looking to use to mitigate the effect of the cost pressure?
Zach Cummins: Yeah. Extremely helpful, I think that's all the questions I have for now. So thanks again for taking that questions and looking forward to reconnecting soon offline.
Bharat Rao: Thanks, Zach. You are very welcome.
Operator: Thank you. This does conclude the question and answer session of today's program. I'd like to hand the program back to Bharat Rao for any further remarks.
Bharat Rao: Thank you, Jonathan. And thank you all for joining us this afternoon and for your continued support of StarTek. I look forward to speaking with you next, when we report our first quarter results.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.